Operator: Good day, ladies and gentlemen, and welcome to the Innospec Inc. Quarter One 2009 Earnings Presentation. For your information, today's conference is being recorded. At this time, I would like to turn the call over to your host today, Mr. Andrew Hartley. Please go ahead, sir.
Andrew Hartley: Thank you, and good morning, everyone. My name is Andrew Hartley. I am Vice President and General Counsel at Innospec. Thanks for joining us our first quarter 2009 financial results conference call. Today's call is being recorded. As you know, last night we reported our first quarter financial results. The press release is posted on the company's website at www.innospecinc.com. An audio webcast of the call, and the slide presentation and the results are also now available, and will be archived on the website. Before we start, turning slide number two, I'd like to remind everybody that certain comments made during this call might be characterized as forward-looking statements under the Private Securities Litigation Reform Act of 1995. Generally speaking, any comments regarding management's beliefs, expectations, targets or other predictions of the future are forward-looking statements. These statements involve a number of risks and uncertainties that could cause actual results to differ materially from the anticipated results implied by those forward-looking statements. These risks and uncertainties are detailed in Innospec's most recent 10-K report, as well as the other filings we have with the SEC. We refer you to the SEC's website or our own site for these and other documents. Moving to slide three. In our discussions today, we've also included some non-GAAP financial measures. A reconciliation to the most directly comparable GAAP financial measures is contained in our earnings release and in the presentation that follows. A copy of which is available on the Innospec website. With us today from Innospec are Patrick Williams, President and Chief Executive Officer, and Ian Cleminson, Executive Vice President and Chief Financial Officer. And with that, I will turn it over to you, Patrick.
Patrick Williams: Thank you, Andrew. And thanks to everyone on the call for taking the time to join us today. Turning to slide four in the presentation, I have a few summary comments before Ian takes us through the numbers in greater detail. We're pleased with the solid operating results our core businesses are generating in this extremely challenging economic environment. Fuel Specialties, which is by far our largest and most profitable business, turned in another excellent performance with a 15% increase in operating income for the quarter. In Active Chemicals, our results improved significantly in Q1 as the pricing adjustments we made in the second half of last year took hold, and gross margins were up dramatically from the Q4 level. However, this segment's business results, again, were weighed down by the performance of our polymers business, which we consider non-core. And in general, there is plenty of room for further improvement in Active Chemicals. Octane Additives, our legacy TEL business, performed roughly inline with our expectations. As we mentioned in the Q4 call, shipments were strong in the fourth quarter, so our customers had plenty of inventory, but shipments were down quite a bit in Q1. Although, this business continues its gradual long-term decline, it remains and excellent cash generator. As you know, we reported GAAP EPS for the quarter of $0.26 versus $0.30 a year ago. However, both periods include a number of special items that we have detailed in the press release in the appendix (ph) to this presentation. The most significant of these were additional expenses related to Oil for Food investigations and a large non-cash foreign exchange loss, primarily reflecting the volatile exchange rate in the first quarter. Ian will have the details, but if you exclude all these items from both periods, our adjusted earnings per share for the quarter were up 5% from a year ago, which we believe is very respectable in this economic environment. And with that, I'll turn the call over to Ian Cleminson, our Chief Financial Officer.
Ian Cleminson: Thank you, Patrick. Turning to slide six, on a consolidated basis, revenues for the quarter were down 12%. However, 11.5 million or 7 percentage points of the decline is due to currency translation and (ph) to the relatively strong U.S. dollar. Our overall gross profit percentage was 33.9% or 3.3 percentage points from a year ago, as all three business segments reported higher margins in part, reflecting significantly lower raw material costs. However, given the weak global market conditions, we would expect margins to come under additional pressure in the quarters ahead. Our GAAP earnings per share of $0.26 for the quarter included $0.20 per share in non-cash foreign exchange losses, $0.20 in additional expense and accruals relating to the Oil for Food investigation, and $0.02 in Octane Additives goodwill impairment. We also incurred a restructuring charge equal to about $0.04 per share, the separation costs relating to departure of our former CEO, offset by a $0.07 gain due to the forfeits of Innospec's stock options. Also, on a net basis, we have $0.30 per share... $0.39 per share in special items that reduced our first quarter earnings, while a year ago, we had special items totaling $0.32. So, on a adjusted basis, diluted earnings per share were $0.65 or 5% from last year's first quarter. Turning to slide seven, in our key Fuel Specialties business, revenues were down only 1%, despite the 6% negative impact from currency exchange rates. This is an outstanding performance in view of the global market conditions we are facing, and clearly indicates that we are gaining market share with our innovative new products and our continued focus on our exceptional customer service. In addition, Fuel Specialties improved its gross profit percentage by 3 full percentage points to 37.4%. The improvement reflects continued declines in raw material costs and our ability especially, early in the quarter to hold pricing relatively firm. In addition, we benefited from a mix shift towards higher margin products, both in Americas and in EMEA. However, with demand continuing to soften and pricing (ph) structure, we would now expect gross margins to remain at this levels in the quarter ahead. By region, revenues increased 9% in the Americas, with good growth in lubricity improvers, cetane improvers and static dissipaters. Sales in the EMEA region were flat, a solid performance given the level of euro-denominated sales. In the smaller Asia-Pacific business, sales were down 17%, in part due to de-stocking by detergent customers. In addition, Octane (ph) sales, while relatively small, were down about 40% from a year ago, in part reflecting a shift in the timing of certain shipments from Q1 to Q2. Overall, this segment's operating income for the quarter was 27.3 million or 15% from last year's first quarter. Moving onto slide eight, in Active Chemicals, revenues declined 17%, with about 12 percentage points of the decline was due to currency translation. And the segment's performance actually, was much improved in the fourth quarter. We reported a 1.2 million operating profit, compared with the 0.1 million profit a year ago. And this is dramatically better than our 2.4 million operating loss in Q4. Our gross profit percentage was 17.4% or 3.9 points from 13.5% a year ago, and up more than 11 points from Q4. Price increases taken in the second half of 2008 flowed through. While raw material costs generally declined across the board. We also benefited from shift in the sales mix towards higher margin products. The low margin polymer business again, was extremely weak. And if you button it out, this segment's revenues were down only 4%, and gross margins were up 4.6 percentage points to 19.3%. By region, sales were down 12% in the Americas, with some growth in Personal Care and Fragrances, offset by lower sales and cost of manufacturing, as we decided to exit, some of our low volume, low margin business in that area. In the EMEA region, revenues declined 27%, primarily reflecting the sharp drop in polymers. Sales in the Asia-Pacific region were up 14%, driven by a strong increase in the Fragrance sales. Turning to slide nine, as expected, the Octane Additives segment sorted the after effects of a very strong fourth quarter, which left certain key customers with high TEL inventories, and little need for additional shipments. Revenues for the quarter were 5.3 million, down 72% from a year ago. But, we would expect some pick up sequentially in the quarters ahead. The gross profit percentage for the quarter was excellent at 50.9% or 10.6% percentage points from a year ago. Reported operating loss of 5.5 million, includes 7 million of additional legal expenses and accruals related to the Oil for Food investigations, roughly equal to the 6.8 million in similar expenses incurred a year ago. On an operating basis however, Octane Additives is still solidly profitable, and should remain a significant cash generator for at least the next few years. Moving onto slide 10, corporate costs for the quarter were 1 million, down sharply from 6 million a year ago. As I alluded too earlier, about half of the decline is due to a 2.4 million gain, reflecting the full hit of the former CEO's stock options. The remainder of the declining corporate cost is primarily due to strength of the U.S. dollar against our predominantly UK sterling corporate cost base, as well as our continued tight controls on general and administrative expenses. We also report non-cash foreign exchange losses of 7.1 million before taxes, compared to a 0.5 million gain a year ago. The restructuring charge of 1.3 million before taxes was primarily due to the separation costs related to departure of the former CEO. As expected, the Octane Additives impairment charge was again down significantly at 0.6 million, compared with 1.1 million a year ago. In addition, we recorded another non-cash charge of 1.5 million related to our United Kingdom defined benefit pension plan, up significantly from 0.6 million a year ago, and inline with our comments on the last call that we expected these cost to increase in 2009. The tax rate for the quarter, adjusted for Octane Additives goodwill impairments was 13.7%, compared with 34.4% in last year's first quarter. Turning to slide 11, cash flow was excellent in the first quarter, as we generated 25.2 million in free cash flow. And that's a 2.1 million in capital expenditures. This reflected our solid operating income, as well as significant seasonal reductions in both inventory and receivables. We reduced our net debt to 37.5 million as of March 31, down 21.6 million since the year-end onto our new 150 million finance facility, which we successfully negotiated during the quarter. We did not repurchase any additional Innospec shares during the quarter. As we mentioned on the last few calls, the board is determined that for the time being in the current environment, preserving liquidity and maximizing cash flows should take precedence over stock repurchases. And now, I will turn it back over to Patrick, for some concluding comments.
Patrick Williams: Thank you Ian. Moving onto slide 13, which shows Innospec's ongoing operating profitability. This is a metric we use to back out the performance of our legacy Octane Additives business, and demonstrate the progress of our ongoing specialty chemicals business. With the combined operating income up 20% in Fuel Specialties and Active Chemicals and with corporate cost down significantly, our ongoing operating profitability was up 55% for the first quarter. However, corporate costs were unusually low for the quarter, for the reasons we discussed earlier. And more typical level would be 5 to 6 million per quarter. In any case, the ongoing businesses continue to make excellent progress at the operating level. Turning to slide 14. I'd like to make a few more points before we take your questions. Regarding the Oil for Food investigations, there is not much more we can say beyond the disclosures we've already made in our public filings. All parties involved are eager to bring these matters to a close, and we continue to cooperate fully with investigations. But, we still can't speculate as to how much longer this process will take, or what the results ultimately will be. I want to take this opportunity to personally reassure everyone that compliance remains a top priority of the entire senior management team at Innospec. We have all had a detailed topographies which is available on our website. In addition, last summer we launched an enhanced compliance program, which shifts out our rigorous procedures for developing relationships with third parties to help ensure that we're not just complying but going well beyond the letter of the law. Compliance sits in the very heart of our business. And I am personally committed to the higher standards of corporate governance and ethics. As you know I was named President and CEO of Innospec in early April. While I'm extremely proud to be given this opportunity, these are obviously challenging times to be taking on this new responsibility. Market conditions are difficult and the world economy is in deep recession. But the fundamentals of our business are strong, and we've a number of competitive advantages that should help us emerge from these tough times in better shape. First with innovative (ph). New products continue to account for a significant portion of our sales growth. For example, 45% of Fuel Specialty sales in the first quarter came from products introduced in the last five years. And we have a significant pipeline of new products that we expect to launch later this year and in early 2010. Second, we have a customer focused program that enables us to work to directly with customers to solve their problems, and are helping us to win new business even in a difficult environment. And the third factor is our exceptional people. We have great personnel working at all levels of the company with a very strong management team. In that regard, I would note that I'm planning to make some changes in the company's management structure to sharpen our focus on operations. Its premature to announce anything along these lines. But, the changes will be evolutionary, not revolutionary, and will not affect fundamental direction of the company. A couple of other points I'd like to make. As we continuously work look opportunistically at potential acquisitions that could complement our existing businesses. And that will remain a key component of our longer term growth strategy. But, any deal we do, we'll have to bring the right synergies instead, with our existing operations and also make sense economically for our shareholders. In addition, we have taken the first steps towards developing a green strategy. So, we'll begin measuring and annualizing the carbon footprint of all our operations. This initiative is in its early stages, and we will provide more detail as it further develops. Looking ahead, while Q1 was another strong quarter, overall, Innospec's sales margins and earnings, I would caution everyone that the market conditions have deteriorated significantly since the beginning of the year, with demand softening and pricing pressures intensifying across many of our key product lines. So, our performance may weaken somewhat sequentially, as we move through 2009. With that in mind, and given the many uncertainties in the current environment, we are again referring this quarter for providing any formal guidance regarding our expected 2009 financial performance. What I will say, is that we continue to believe we are well-positioned, within our chosen businesses and Fuel Specialties and Active Chemicals, to deliver solid long-term growth for our shareholders. And with that, I am going to turn it back over... the call back over to the operator. And we'll be happy to taking any of your questions.
Operator: Thank you. The question-and-answer session will be conducted electronically. (Operator Instructions). We are coming to our first question from Jeff Zekauskas from J.P. Morgan. Please go ahead.
Unidentified Analyst: Hi, good morning. This is actually Olga (ph), sitting here for Jeff.
Patrick Williams: Good morning, Olga.
Ian Cleminson: Good morning Olga.
Unidentified Analyst: Hello, hi. Yeah, I have a couple of questions. In our fuel additives or Fuel Specialties division, you said that unit volumes were actually flat in the quarter. But, you gained some market share. How would you estimate like actually, market share gain and underlying volume decline?
Ian Cleminson: Yeah. Good morning, Olga. We're obviously joint it with the underlying growth level in our Fuel Specialties business. Especially, in such a tough economic environment. And if we look to our revenue decline of 1%, you can break it down as follows. So, exchange rates in the first quarter obviously, impacted our revenues by 6 percentage points. The additional... in addition, roughly volumes are 5 percentage points lower. And that was offset by a richer (ph) price and product mix, which favorably impacted sales by 10 percentage points. What I would say and I think its worthy of note here, is that if we excluded the octane (ph) markets within Fuel Specialties, our volumes were actually broadly flatter or even slightly up a little bit compared with the corresponding quarter last year?
Unidentified Analyst: Hello?
Patrick Williams: We're still here Olga.
Unidentified Analyst: Hear you, okay. But, you said that you gained some market share. So, I guess that's the underlying volume decline, or its more than 5%. Could you estimate what was the sort of underlying volume decline, excluding market share gain?
Patrick Williams: No Olga, why as we said was that the octane business actually declined. The 5 percentage points of decline in volume is actually changed due to the octane (ph) business, the remaining Fuel Specialties business in volume terms was broadly flat or slightly up. So, we just hold volumes at similar levels to where we were last year. I hope that's clear.
Unidentified Analyst: Okay. And moving to corporate cost, I apologize, I think you mentioned your expected run rate for the rest of the year, I probably missed that. Could you repeat that?
Ian Cleminson: Yeah, it's about 5 to 6 million per quarter, Olga.
Unidentified Analyst: Are you expecting any major restructuring initiatives for cost reduction?
Patrick Williams: No, not at this time. We are changing to the structure that we are going to make it more evolutionary versus revolutionary, and its premature to make those announcements at this time.
Unidentified Analyst: Okay. And 1.5 million of pension, that's a good run rate further the year?
Ian Cleminson: That's right, yeah. Each quarter of that will be the ongoing charge.
Unidentified Analyst: Okay. I guess, that's all I have for now. Thank you.
Ian Cleminson: Thanks Olga.
Patrick Williams: Thank you.
Operator: (Operator Instructions) We're now moving to Gregg Hillman from First Wilshire Securities Management. Please go ahead.
Gregg Hillman - First Wilshire Securities Management: Good morning, gentlemen.
Patrick Williams: Good morning, Gregg.
Gregg Hillman - First Wilshire Securities Management: Hi, if you talk about the gross profit margin in Active Chemicals and Fuel Specialties, what caused it to increase so much, I think 3 percentage points. Was it due to material cost declines or new product introductions with higher margins. Could you just go into that a little bit more please?
Patrick Williams: Yeah, Gregg. I would say, it's both. I mean, obviously, in Q4 we get in Q1, raw material prices dropped dramatically as well in early 2008, in mid-2008, we had to increase prices in the Active Chemicals segment just due to the fact of where market prices and raw materials were headed earlier in 2007 and early 2008. We've had the benefit in Q1 of 2009, of low raw materials and a higher market pricing.
Gregg Hillman - First Wilshire Securities Management: Is that sustainable, those gross margins in either Active Chemicals or in Fuel Specialties?
Patrick Williams: Its sustainable depend on where raw materials go from year-to-date. But I think additionally, to keep those margins where they are, we are going to need to introduce new products into the market. And during the presentation, those hopes will be late 2009, and early 2010 and we introduced new products to the markets. But, there is extreme pressure on pricing right now.
Gregg Hillman - First Wilshire Securities Management: Okay. And, if you could just talk about one product, what extent you're able to talk about it. Is anything for in the power plant area for making coal to burn more slowly, and to... or is that a long-term type thing?
Patrick Williams: I would say it's long term. But, it is part of our R&D program. And it has been going on for a significant balance right now. But, we're looking at trials, and we can't tell you when there will be in any specific launch date at all.
Gregg Hillman - First Wilshire Securities Management: Okay. And then finally, your mix of products, that go to the term... that go to the refineries themselves to help basically make refineries more efficient. Do you have any products like that, or is it all that your products are pretty much downstream at the terminal level in Additives?
Patrick Williams: No, we look forward to go into the refineries. But, it's not in the process side. It's more once it hits the pipeline down in the terminals and downstream. So, it's not the process I know.
Gregg Hillman - First Wilshire Securities Management: Okay. Okay, thanks very much.
Patrick Williams: Yes.
Ian Cleminson: Welcome.
Operator: (Operator Instructions) And we have a follow-up question from Gregg Hillman. Please go ahead, sir.
Gregg Hillman - First Wilshire Securities Management: Yeah, again. Just for the reminder of the year, are you going to do any more Investor Relations type stuff. Could you describe what you envision for the company in terms of as it interacts with Wall Street and with some investors?
Ian Cleminson: Yeah. Gregg, it's our intension to do a little bit more, and become a little bit more active in the Investor Relations side. And we already mentioned that it will be towards the end of this calendar year, when Patrick and myself will be in New York and all the cities.
Gregg Hillman - First Wilshire Securities Management: Okay, great. Thank you.
Operator: And we have no further questions at this time, I would like to hand the call back to Mr. Williams for additional remarks.
Patrick Williams: Thank you for your questions. And now I'd like to leave you with few final thoughts. Considering the economic environment, we are pleased with Innospec's overall results for the first quarter. Our largest business, Fuel Specialties, continues to perform extremely well. Active Chemicals has significantly improved its performance from the fourth quarter level. And Octane Additives remains a meaningful cash generator. While we're looking ahead cautiously to the next few quarters, we remain confident in our long-term strategy for driving growth in our core businesses and building shareholder value overtime. We will continue to invest in innovation and executing our aggressive service oriented strategy. We have strong positions in a variety of attractive specialty chemical markets. And I know we can leverage these in years ahead. If you have any further questions, please don't hesitate to call us. And if we don't hear from you in the meantime, we look forward to sharing our second quarter results with you in a few months time. Thanks again for being with us in the call today. And good bye.
Operator: That will conclude today's conference call. Ladies and gentlemen, thank you for your patience. And please disconnect.